Operator: Thank you for standing by. This is the conference operator. Welcome to the Ballard Power Systems 2014 Third Quarter Conference Call and Webcast. As a reminder, all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Guy McAree, Director of Investor Relations. Please go ahead, Mr. McAree.
Guy McAree: Thanks very much, and good morning, everyone. Today's call is to discuss Ballard’s third quarter 2014 operating results. And with us today, we have John Sheridan, President and CEO of Ballard throughout the third quarter; Tony Guglielmin, our Chief Financial Officer; Steve Karaffa, our Chief Commercial Officer; as well as Randy MacEwen, who joined Ballard as President and CEO following the third quarter. We're going to be making forward-looking statements that are based on management's current expectations, beliefs and assumptions concerning future events. Actual results could be materially different. Please refer to our most recent annual information form and other public filings for our complete disclaimer and related information. I'll turn the call over to John now.
John William Sheridan: Thanks, Guy. Good morning, everyone. As you know, I was in the CEO chair throughout Q3, so I'll lead off today's results call, my last Ballard earnings call. Randy, of course, stepped into the role of President and CEO on October 6, and he certainly has hit the ground running. Over the past few weeks, we've completed a transition process, which has gone very smoothly. My regard -- my remarks regarding Q3 this morning will be brief, as Tony will drill down in detail on the results, and Steve will provide an update in a few key commercial areas. Finally, Randy will share his perspectives looking forward. So first, Q3 results. As you saw in our press release, we continued to make progress in Q3, including 15% improvement in cash OpEx, 40% improvement in cash used by operating activities, 151% improvement in adjusted EBITDA to positive $500,000. Growth in revenue of 21%, although this 21% rate was below plan, which puts our ability to meet full year revenue and EBITDA guidance at risk. So more on this in a moment from Tony. Beyond the results in the quarter though, of note, on October 8, we closed a new long-term supply agreement for fuel cell stacks with Plug Power. Steve will provide additional color on this key development a little later on the call. But first, Tony will take us through a fulsome report now on the Q3 numbers. Tony?
Anthony Robert Guglielmin: Thanks, John. And good morning, everyone. Let me start then with a review of a few key financial metrics for the quarter and year-to-date. Our top line revenue growth was 21% in Q3 to $20.6 million. On a year-to-date basis, revenue was $53.1 million, also a 21% improvement from 2013, although revenue does reflect a different mix of products and services than we have projected at the outset of the year. Specifically, we are seeing higher growth in Material Handling and in Engineering Services, along with slower growth in Telecom Backup Power and development stage bus revenue. While I've been disappointed in progress this year in backup power, our diversified approach in these early-stage markets is paying off. And as we'll describe later, we continue to remain bullish on prospects in backup power. Before I review revenue by market in more detail, I'll cover the other key financial results for the quarter starting with gross margin. Gross margin was unchanged to 25% year-to-date compared to the same period last year, although it was down 3 points in Q3 compared to Q3 last year. This was due primarily to the impact of lower than expected Telecom Backup Power system shipments on manufacturing overhead allocation, together with a shift in product mix and increase in service-related expenses. In terms of cash operating costs, Q3 improved 15% compared to the same period last year to $5.6 million. And we continue to expect cash operating costs to be in the mid $20 million range for 2014, significantly lower than 2013 cash OpEx of $28.3 million. As John mentioned, adjusted EBITDA in the quarter improved 151% year-on-year to positive $500,000 benefiting from higher revenue and lower operating costs in the quarter. We are also pleased to see a further 60% improvement in earnings per share in Q3 to a loss of $0.02 per share from a loss of $0.05 per share in Q3 last year. Cash used by operating activities improved 40% in Q3 to negative $2.9 million. This reflects an 82% improvement in cash operating loss to negative $400,000, with working capital changes roughly flat to last year. Lastly, in terms of liquidity, we ended Q3 in a strong liquidity position with cash reserves of $32.7 million. Now let me go back now to the top line and provide some additional color by market. I'll begin with Telecom Backup Power, where revenue was up 60% in the quarter on a year-to-date basis to $6.3 million, and also up 70% from the prior quarter. Despite a strong Q3 and building momentum throughout the year, Q3 results were below plan, and on a year-to-date basis, backup power is down 12%. Looking at the full year, we will not meet our original expectation for revenue growth in this market segment. That said, as mentioned earlier, we do remain bullish on prospects in this segment. In Q3, we announced a purchase order for ElectraGen ME systems for deployment in the Digicel network in Jamaica, which will bring the total number of systems operating there to 25. We have committed purchase orders in hand for deployments in Japan, Thailand, China, as well as the Philippines. And we also expect to see orders from a number of other customers in various geographies during Q4, including the U.S. market. And Steve will be speaking, recent progress in the U.S. shortly. In Material Handling, Q3 results reflected continued market momentum with revenue up 70% to $3.6 million due to growing fuel cells stack orders from Plug Power. Year-to-date, Material Handling revenue was $10.2 million, an increase of 127%, tremendous growth in this key product area and ahead of plan. And as John already referenced, we also recently signed a new long-term supply agreement with Plug Power. In development stage markets, Q3 revenue was down 43% to $2.5 million. The $2 million reduction from Q3 last year though, primarily reflects expected lower revenue from our bus module assembly license contract in China as this initial phase of the contract comes to a conclusion. On a year-to-date basis, Development Stage revenue is down 40%. This reflects about a 40% reduction in fuel cell module shipments with just 7 modules shipped so far this year, primarily the result of a slower JTI reward process than we expected for fuel cell buses in Europe. And Steve will comment later on the status of this program as well as other bus initiatives. Finally, Engineering Services revenue increased 26% in Q3 to $8.2 million, and is up 62% year-to-date to $24 million, which is ahead of plan. Engineering Service revenue in the quarter broke down as follows: $4.1 million came from our long-term contract with Volkswagen; $2 million came from other automotive contracts; and $2.1 million came from non-automotive contracts. Specifically, bus and backup power assembly contracts with Azure Hydrogen in China, ongoing work on a micro-fuel cell contract and 2 new aerospace contracts. We mentioned on our last call that in Q2 we delivered our first prototype next-generation fuel cell stack to Volkswagen, with higher performance and higher power density. We are now working on integrating this stack into a complete system, and can report that VW -- with the VW program, remains on track, and VW is pleased with the progress Ballard has made today. So to summarize then, we have achieved strong results to this point in 2014 with 21% top line growth driven by Material Handling and Engineering Services, which are up 127% and 62%, respectively. On the bottom line, we delivered positive adjusted EBITDA in Q3, consistent with our previous comments that we can achieve positive adjusted EBITDA at a revenue level of $20 million per quarter. And we saw a 69% improvement in adjusted EBITDA year-to-date. Nonetheless, with just 2 months remaining in the year and with year-to-date revenue growth of 21%, we are resetting full year guidance to revenue growth of approximately 20%, and adjusted EBITDA improvement of approximately 65%. And this would equate to approximately negative $3 million. And with that, let me turn the call over to Steve.
Steven William Karaffa: Thanks, Tony, and good morning, to everybody. I'd like to spend the next minutes -- few minutes adding some color around 3 specific commercial areas of the business. First, our new long-term supply agreement for stacks with Plug Power. Secondly, Telecom Backup Power progress in the U.S. market. And finally, the status of fuel cell buses in Europe. So turning to our agreement with Plug Power for Material Handling stacks. On October 8, we announced the signing of a new long-term supply agreement with Plug that went into effect immediately. And it runs through 2017 with the provision for 2 1-year extensions. Our continuing focus is to earn Plug's business through delivery of the highest-quality fuel cell stacks at competitive prices together with first-rate customer support. We are committed to offering the highest value to Plug as we move forward. The Plug opportunity is exciting and attractive. Plug's volumes continue to grow. During Q3, Plug shipped 857 GenDrive systems, representing a 450% year-on-year increase. The customers that include BMW, Walmart, Procter and Gamble, Mercedes-Benz, Kroger, Steel, United Natural Foods and Volkswagen. Looking ahead, Plug expects to ship between 800 and 1,000 GenDrive systems in Q4. And it expects to end 2014 with a substantial increase in its order book. Moving to Telecom Backup Power in the U.S. As we've noted previously, this has been a challenging market. The principal application in the U.S. is network hardening, with target size increasingly located on urban rooftops. This specific application is one of the toughest from a municipal safety code perspective. Correspondingly, rooftop sites have traditionally been underserved with backup power solutions. However, in the last 2 months, we have made some meaningful progress in our work with one of the major U.S. carriers. Recently, the New York Fire Department provided conditional approval for the deployment of Ballard's ElectraGen methanol fuel backup power systems in rooftop trial locations in New York. ElectraGen is the first backup power fuel cell product to achieve this milestone. Currently, we are completing the work with the carrier to meet the specific New York Fire Department requirements needed for full approval. Upon completion, we see the rooftop application as an important new market for our ElectraGen product. And finally, a brief update regarding the European bus market. Last week, we announced the November launch of the European service and parts center. This facility will be located at the Belgium manufacturing facility of Van Hool, one of our key partners in Europe. This center will provide rapid cost-effective maintenance and repair support for the 27 Van Hool fuel cell buses that will be operating in Europe. It will further strengthen our value proposition to end customers, and generally, our relationships in the region. We also signed a nonbinding MOU with Skoda Electric, a check bus OEM and the bus operator in the Latvian City of Riga. This agreement lays the foundation for a relationship that could ultimately lead to the delivery of next generation HD7 modules. If all goes according to plan, these modules will replace diesel generators operating today in trolley buses in the city of Riga in 2016. One final note, in our last earnings call, I said that we expected to hear imminently regarding the outcome of the 2014 JTI fuel cell bus funding round. Unfortunately, the program decision has been subject to delays in this government-driven process. As a result, we do not yet have a decision regarding the outcome of JTI funding allocations. That said, we know that progress has been made in navigating through the decision process, and we remain confident. And we'll announce any decision as soon as it's available. So with that, I would like to hand the microphone over to Randy.
Randall MacEwen: Thanks, Steve. And good morning, everyone. It's a privilege to join Ballard as President and CEO at this critically important stage of its development. As John entered at the outset, I'm not going to be speaking today specifically to Ballard's Q3 results. John, Tony and Steve have already done that. Instead, I'd like to take this opportunity to accomplish 3 simple objectives. First, although I've known many of the Queen Tech analysts for some time, I want to introduce myself to those analysts and investors on the call with whom I haven't previously met. Second, I'll provide some context on why I'm so excited to be returning to the fuel cell industry. And third, why I'm energized to be joining the Ballard team at this time. So first, on my background. After practicing corporate finance and mergers and acquisition as a corporate lawyer in Toronto for 6 years, I moved into executive roles in the Queen Technology sector in 2001, some 13 years ago. From 2001 to 2005, I was Executive Vice President, Corporate Development at Stuart Energy Systems, the leading supplier of hydrogen generation systems based on water electrolysis. As some of you may recall, Stuart Energy was directly involved in the hydrogen energy production and storage business, including hydrogen refueling infrastructure. Stuart Energy was acquired by Hydrogenics in 2005 and continues to form the primary basis for their activities today in the industrial hydrogen and power to gas markets. After the Hydrogenics transaction, I moved to California in 2005 to join the fast-growing solar industry. I've been in the solar industry over the past 9 years, including serving as the CEO of publicly listed Solar Integrated Technologies for 4 of those years. Solar Integrated was a leading developer, manufacturer, supplier, installer of commercial rooftop solar systems. We provided solar roofing systems and turnkey engineering procurement and construction to blue chip customers like Walmart, Coca-Cola, Frito-Lay, IKEA, Toyota and Johnson Controls. Solar Integrated was acquired in 2009, as part of a vertical integration theme that occurred in the solar industry. In 2010, I founded a Queen Tech consulting firm that have been providing management consulting services over the past 4 years, including strategic planning, consultant CEO, financing advisory and M&A advisory to Queen Tech companies and Queen Tech venture capital firms. So with that context, I'd now like to discuss why I've returned to the hydrogen fuel cell industry and why now. Over the past decade, I've continued to closely follow the fuel cell space. The industry has undergone significant and needed transformation during this time. Three key changes are important to highlight. First, the macro context for fuel cells has never been stronger. The trisector of energy security, climate change and air quality remain strong secular drivers. But now, over the past few years, extreme weather and power reliability have emerged as sustainable long-term and global drivers for fuel cells. Second, in parallel to these micro drivers, the industry has driven significant technology advancements over the past decade. Measured progress has been made on reliability, durability, performance, functionality and cost reduction. Both the wind and solar industries have vividly demonstrated how critically important cost reduction is to demand growth and demand effusion, particularly as costs approach an attractive levelized cost of energy. Third, the fuel cell industry has undergone significant structural change over the past decade. The industry has undergone rationalization and consolidation. Survivors have made fundamental changes out of necessity. There's been a move away from R&D spend and cash burn associated with exposure to automotive products to near-term commercial opportunities. Today, many of the survivors are stronger, leaner and more focused. They're making clear strategic choices on the markets and the customers they serve. They're working hard to provide fuel cell products and services that deliver economic value to targeted customers, while trying to drive attractive gross margins for their own business. The industry is now seeing accelerating sales growth and repeat business, including Material Handling, and Backup Power. Green shoots are also emerging in developing verticals, including bus and distributed generation. Given the progress the industry has made, the capital markets are now revisiting fuel cell companies. Understandably, given the industry's history, there remains a wait and see attitude from many investors. But the interest level today and indeed over the last year has been higher than at any other time since 2004. In my opinion, investors that are correctly reading the secular dynamics, the growth trends and the improving fundamentals, will be rewarded over time. Certain strategic players such as GE are also revisiting the merits of fuel cells in nonautomotive applications. So these are the key factors on why we joined the fuel cell industry and why now. It's a very exciting time as the industry is poised for sustainable growth. As to why I joined Ballard, this was a very easy decision. There were 5 attributes of Ballard that proved very attractive. First, Ballard continues to be the most powerful brand in the fuel cell industry. The Ballard brand connotes PEM fuel cell leadership on parallel technical capabilities and innovation. This was the case when I was in hydrogen and fuel cell industry back in 2001 through 2005, and it remains the case today. Second, Ballard is the technology leader in PEM fuel cells. We've invested over $1 billion in technology and product development over our 30-plus-year history. We've delivered multiple product generations. There's a significant amount of learning that comes with this. Indeed today, we have about 2,700 systems deployed globally in Telecom Backup Power with 11 megawatts of nameplate power generation capacity. We have over 5,000 stacks deployed in Material Handling, with over 10 million hours of run time. We also have the dominant market share of fuel cell buses, approaching approximately 70 bus deployments to date. Third, Ballard has outstanding intellectual capital. We have a world class technical team that includes 25 employees with PhDs, 49 with master degrees and over 150 others with advanced degrees. We also have a deep intellectual property portfolio consisting of ownership or license of approximately 2,000 patents and patent applications. Fourth, Ballard has a differentiated strategy in the fuel cell industry. As a reminder, we have a three-prong strategy. The first prong is the sale and supply of leading fuel cell products in commercial markets, and opportunistic positioning in selected developing markets. The second prong is the supply of specialized engineering services that provide attractive margin contribution and position us for future recurring product sales. And the third prong is to surface value from our world class IP portfolio. This strategy has led to significantly improved financial performance and lowered our breakeven financial model. This strategy provides resiliency to our business, as demonstrated in our third quarter results. We have eliminated singular market, singular product and singular adoption rate risk. This strategy allows us to leverage R&D and product development spend across our product roadmap that supports multiple end markets. And fifth, Ballard has improving financial trends, including revenue growth, gross margin expansion and a line of sight on profitability. So to summarize, Ballard has a compelling growth platform. We have a differentiated strategy, world class talent and intellectual property, technology leadership, proven products, high-quality customers, a growing sales pipeline of profitable business and a high organizational focus on both gross margins and growth and disciplined management of our controllables, including operating costs and working capital. CEO succession is a natural time for reflection and renewals. Over the first 90 days, I'm investing a significant amount of time meeting, listening and learning from many of our stakeholders, including employees, customers, partners and the investment community. These discussions will help better inform our long-term strategic direction, business model, value chain positioning, market focus and our organizational approach. We'll be looking for ways to improve customer experience, accelerate growth and improve financial performance, all leading to increasing shareholder value and providing outstanding career opportunities for each Ballard team member. After only 3 weeks on the job, there are some things I can share with you today. First, I've been impressed with the quality and collective strength of the Ballard organization. We have a committed, resourceful, hard-working and focused team of accountable professionals. We will continue to transition Ballard from a fuel cell technology house to a commercial organization that has a passion for keeping the customers at the heart of our decisions. Second, in the near term, I do not expect any fundamental shifts in our current three-pronged growth and profitability strategy, although we may turn the dial on some specific aspects of the strategy. Third, I see significant parallels between expected growth in the fuel cell sector over the next decade, and the adoption growth curve that occurred in solar over the past decade. There are many relevant solar industry lessons learned that will help inform our strategy. Fourth, we'll continue to build on Ballard's legacy as an industry thought leader. We'll be experts, students and authors of our markets. And fifth, where appropriate, we will move decisively and with urgency to engage new and complementary opportunities. In addition to strong organic growth, we'll also continue to explore M&A opportunities. On a personal note, I'd like to express my appreciation to John, Tony, Steve and indeed the entire Ballard team for their professionalism and support during our CEO transition process. Over the past 3 weeks, there's been a very clear and seamless transition without disruption to our customer commitments and operations. Today's conference call marks the last time that John will participate. On behalf of the Ballard board, the management team and staff, we'd like to publicly recognize and thank John for his leadership, his courage and conviction over the past 8-plus years during an extraordinarily challenging period. We know that John is retiring with significant pride in the collective work of the Ballard team during his accomplished tenure. John is leaving behind a company that has an outstanding platform for future growth. Our objective is to grow shareholder value through continued performance and execution over the long term, including strategic market positioning, robust growth and a move to a sustainable business model. I'm very excited by this challenge. We look forward to articulating in detail our plans for 2015 and beyond, and reporting on our full year 2014 results on our next earnings call in February. So with that, back to the operator for questions.
Operator: [Operator Instructions] The first question today is from Rob Brown of Lake Street Capital Markets.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: In Material Handling segment, could you give us the number of units you shipped in the quarter?
Anthony Robert Guglielmin: Sorry, I didn't catch that, Rob.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Yes. Sorry, could you give us the number of units you shipped in the Material Handling segment during Q3?
Anthony Robert Guglielmin: Number of units? Yes, just let me grab that for a second. I'm just having a look here at the total units. So we have -- it turns -- yes, it's -- to be specific, 1,333.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, perfect. And then you talked about the European bus program kind of getting delayed on the decision. But you must be getting kind of what that program is, what the scope of it could be and once the decision is made, what that might mean to you? I know you don't know for sure, but kind of a range of what it could be?
Anthony Robert Guglielmin: So the process is run through the European Union in Brussels. So it goes through a large committee process, number of different countries and different subcommittees that are involved with the decision. In this particular case, the timeline slid with regard to finally allocating the monies. The monies are there. It's now a process of allocating the monies where they go. And we expect that, or we hope that it will be done in Q4, but we've been saying that now for a quarter. And so once those monies are released, they'll be allocated to specific operators. We have many of the operators as our customers, and as a result, we're confident that when the monies are released, that the programs and the modules -- orders for the modules will be released at that time. And we simply just can't speculate right now on the number of modules since we don't know where those allocations would go to.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, perfect. Got it. And then, as you kind of look into things rolling out next year. I know you're not giving your guidance yet, but could you give us a sense of how the -- what sort of development areas that, that sort of -- we should look for? And then maybe a sense on the telecom business, how that ramp should happen in sort of the next 12 months?
Anthony Robert Guglielmin: So as we've mentioned in previous calls, we have been making progress in a variety of geographies. We are continuing in the early stage of the market deployment. So we'll have a variety of trials and pilots that go on. These typically range from anywhere from 1 to 10 units that get shipped. But we're also hoping to see a few wider scale deployments, units in the hundreds that could take place next year. And that's the transition that we're starting to feel as we go forward. So it's -- we're kind of in between right now. We still have the pilots that we're doing, but we're also starting to see some larger deployments that we expect in 2015.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, great. And then maybe to Randy, my last question here. You mentioned you see some parallels to the solar industry. Could you maybe expand on what those are? Maybe just these bigger deployments and moving forward, but give us a sense of what parallels you see kind of coming related to the solar industry?
Randall MacEwen: Sure. Thanks, Rob. So to be clear, the macro drivers in a fuel cell are very similar, obviously, to the solar industry. And I think the solar industry over the last 10 years has really moved away from a subsidy-based business model and really focused on driving cost down to address a market with a levelized cost of energy that's attractive. Also, in the solar industry, you're dealing with the sale of capital equipment with a long sale cycle. So with that context, I would say there are a number of learnings that are critically important. One is that technology brand and cost leadership have been critically important in the solar industry over the last 10 years. And the companies that remain today as a leading module companies, as a leading racking system companies, as a leading inverter companies, as a leading installers, all have very good technology brand and cost leadership in their respective part of the value chain. The second thing that's important is that, I think when solar started, the economic value proposition was very complicated. And I would say those companies that were able to articulate and market the economic value proposition effectively and simplify the customer experience, proved to have more enduring business models. So that's a significant learning. I also think that when you look at the solar industry, the use of creative and structured finance has really been a driver for a steeper adoption curve. And certainly, that's an area we want to look at for some of our customer base, is how to enable the customer base to put a purchase into their operating budget rather than their capital budget. And just 2 other points, Rob, as well. I think in the solar industry, there have been a number of different geographic markets as well as market segments that have had enjoyed success at various times. And I think it's critically important that we have a nimble and flexible business model that are able to identify where value will accrete to and have opportunities in products that service those markets. Then the last point is that, there's been significant value chain positioning in the solar industry, where there are some lessons for us, as our industry starts to mature in the coming years.
Operator: The next question is from Les Sulewski of Sidoti & Company.
Les Sulewski - Sidoti & Company, Inc.: Can you guys talk a little bit about the progress with Volkswagen, or when you hear any sort of announcement, is there a certain sense of urgency perhaps to get something -- your product out? What are your thoughts there?
Randall MacEwen: Les, it's Randy here. Just a comment, Volkswagen is a critically important customer to us. And obviously, there are confidential and sensitive points to our relationship. We won't be providing any details on that beyond what's in the press release. What I can say is that, and particularly after spending a significant amount of time here in the first few weeks getting up the curve on where we are in our Volkswagen relationship. Not only they're an outstanding customer, we've been doing a very, very good job on delivering value and high-quality Engineering Services to Volkswagen. So we do have a long-term arrangement with Volkswagen, and we're very pleased with the progress we've made and the outlook with that relationship.
Les Sulewski - Sidoti & Company, Inc.: Okay. And looking at the Telecom Backup side, are you seeing any new competition coming in, sales going to someone else, or perhaps, the industry experiencing a little bit of slowdown and maybe from just the lack of experience with fuel cells?
Anthony Robert Guglielmin: Yes. We have seen a couple of competitors come into the market. On the hydrogen side, we've always had them. But on the methanol side, we've seen some entrants there. I actually view that as a positive. It means that people feel that the market is growing and going to be big enough to invest the money in it. We believe that we still have a differentiated product, and that we can display and keep our leadership position. There is no -- no concern from that standpoint, but I view it as a positive. And I believe as we start to get into some of these larger orders, we'll see the competition get a little bit more serious.
Randall MacEwen: Sorry, let's just add to that. I think it's really important to understand what we've accomplished here in the U.S. market with our conditional approvals for rooftop deployments in New York. It shouldn't be underestimated how challenging it is to accomplish that. We're the first to do that. And it provides us a real competitive differentiation in a underserved market. So while we are selling these units globally and have seen good progress in key Asian markets, particularly in the Caribbean area as well, I think, 2015 is going to be an important year for us to prove out the value proposition in the U.S. marketplace. And we've made some important steps in 2014 to do that.
Les Sulewski - Sidoti & Company, Inc.: That is helpful. Also, one thing. Do you have the number of backup power systems shipped in the third quarter?
Anthony Robert Guglielmin: Yes, it's 111.
Les Sulewski - Sidoti & Company, Inc.: 111?
Anthony Robert Guglielmin: Yes, systems. There was also a significant number of -- I was just going to say, in that total revenue number left, there is also a significant number of stack shipments as well in the quarter, as well in addition to shipments. So it's about almost 600 stack shipments on top of those system shipments that make up the total revenue.
Les Sulewski - Sidoti & Company, Inc.: Okay. And then I think you mentioned about 170 or so, that you are expecting for the quarter. I mean, what was the cost for the shortfall?
Anthony Robert Guglielmin: So the shortfall for the 59 systems basically fall into 2 categories. The first is we had delays with a variety of customers in the issuance of POs. We've actually received POs for the projects. But they come in, in tranches. So we didn't receive all the POs that we had hoped to receive in Q3. The second item is, that progress was taking longer than expected in the U.S. market. The approval of the New York Fire Department took a little bit longer. We [indiscernible] of getting ready for the final approval. Once that is issued, then larger orders will follow. So that took longer than we would have expected. So those are the 2 major reasons.
Les Sulewski - Sidoti & Company, Inc.: Could you maybe give a little more color about the New York opportunity? I mean, what's the value proposition?
Anthony Robert Guglielmin: Well, the value proposition is having gone through a hurricane and a tough winter last year in the Northeast. The whole region is looking at hardening their networks. Actually, T-Mobile has a great video that you might want to look at, that talks about that particular aspect that they have to deal with. So when they go in, one of the key places and one of the best places for hardware network would be on a rooftop. The problem with the rooftop is that nobody is going to put diesel up on a rooftop and nobody wants to put hydrogen up on a rooftop. So methanol becomes a great option for them, for a variety of reasons. And that's the one that the fire department and the city chose to trial. And I think they've been very happy with it.
Operator: The next question is from Dev Bhangui of Jennings Capital Inc.
Devdatt Bhangui - Jennings Capital Inc., Research Division: So before, I guess, go ahead with my questions, John, I wanted to wish you on all our behalf a very fulfilling retirement, and a warm welcome to Randy on board. So just in terms of the questions for the backup power, I guess in terms of that deferral, Steve, I think you provided right now the fact that you haven't received the PO and so on. So the 170 minus 111, that is going to spill over in Q4. And at the same time, whatever was the ongoing velocity in terms of the Telecom Backup Power for Q4 as it would have been, as the company is growing, would still be there? Would that be a correct characterization of the Telecom Backup Power composition for Q4 then?
Randall MacEwen: So Dev, it's Randy. Again, I think we're very excited and confident about our opportunities in the backup power market. I don't think going forward, we're going to provide the number of units in any given quarter and indicate beyond our macro guidance that we've provided. So we won't be providing details on the number of units coming in Q4.
Devdatt Bhangui - Jennings Capital Inc., Research Division: Okay. But would it be right, say, qualitatively to say that whatever was missed out in Q3 would be now deferred to Q4, or is it being deferred beyond Q4?
Randall MacEwen: Yes, I mean, I would say that some of the units that were expected to be shipped in Q3, the shortfall, some of them will be seen in Q4, some of them perhaps in Q1.
Devdatt Bhangui - Jennings Capital Inc., Research Division: Okay. And then in terms of Development Stage markets, and I know that these are -- the reason, I guess, I'm drilling down on questions on these 2 areas is because the backup power and the Development Stage markets and the licensing and IP charges are the ones which are higher margin business compared to the Material Handling. That's why I'm asking. So with respect to Development Stage markets, as you -- the relationship and whatever would be the progress, while it has come to an end for the time being, what is the view going forward in terms of that particular program, number one? And number two, with respect to having acquired UTC portfolio, there were some opportunities that you were looking at in auto as well as other areas, where you'd see UTC and the customers relationships coming in with that acquisition. Would you be able to provide us some details with respect to those being characterized as development stage market opportunities, please?
Anthony Robert Guglielmin: Yes, certainly, with regard to the first question and just to be clear too on the -- I made that comment earlier in the development stage markets, part of that was the Azure, or the bus licensing deal that we signed in Q3 of last year with Azure Hydrogen. That -- the first phase of that contract was about a 12-month contract. So we're just coming into the conclusion on that phase. So the revenue from the licensing portion of that transaction as well as some Engineering Services is winding down this year. We talked about on previous calls, the next phase of the project really is Azure developing relationships in China with the bus OEMs, tram OEMs, whatever, to look for moving into the next phase, which will obviously be the assembly of bus modules and building a bus market. So that is continuing. They are making -- they are in discussions with a number of potential partners. But we're not expecting to see any specific follow-on bus modules going into the market for the next couple of quarters. It's really a 2000 -- probably, late 2015 and growing from there. So that's the reason why that's dropping down. But as far as China goes, we still remain very positive. The relationship is still proceeding with Azure, but the ball is somewhat in their court now to develop those relationships going forward. Sorry, the second question already was the...
Devdatt Bhangui - Jennings Capital Inc., Research Division: Yes, whether with respect to the UTC.
Anthony Robert Guglielmin: Yes. No, we are making good progress. We are in a discussions with the number of automotive and nonautomotive customers around some licensing transactions. So we're still quite bullish on that. Nothing to announce at this point, but hopefully, by the time we are out in February with our Q4 results, we'll be able to give a bit more color on some specific opportunities. So we're progressing well. There's nothing we can comment on specifically right now, Dev.
Devdatt Bhangui - Jennings Capital Inc., Research Division: Okay. And then, Randy. Just with respect to the Volkswagen, I know that Volkswagen is probably dancing and at least -- that the press release that they're putting out, they're dancing on both the fronts. They are going with electric vehicles, but they are both battery operated as well as fuel cell operated. So I know that with respect to Ballard, you guys recognize revenues on Volkswagen contract based on milestones and progress achieved as opposed to a regular kind of a ballpark figure every quarter. So do you see the revenue recognition as you see the Volkswagen contract progress? Does revenue recognition will keep on increasing in terms of dollar value, or do you see that steady state consumption of that particular contract on a quarterly basis in terms of dollar -- dollarization is concerned?
Randall MacEwen: Yes. I mean, so the Volkswagen arrangement is a long-term relationship. And it contemplates a certain scope of work each year over the next number of years. There may be slight variations quarter-to-quarter, given scope of working in any given quarter. But generally, think about that as being relatively flat quarter-to-quarter.
Devdatt Bhangui - Jennings Capital Inc., Research Division: Okay. And then one last question if you don't mind for Tony is that, the inventory build-up in this particular quarter with respect to the cash consumption of $2.9 million of which $2.5 million was inventory buildup. Is that for fulfilling the orders and revenues in Q4? And is that largely the Plug Power business, Tony?
Anthony Robert Guglielmin: Yes, I think, that's pretty much -- that's what that's reflecting. Just a modest buildup of working capital in terms of inventory for delivery -- inventory for delivery is principally Material Handling in Q4, a little bit of backup power.
Operator: The next question is from Jeff Osborne with Cowan and Company.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: And John, it's been a pleasure working with you past 7, 8 years, and wish you best of luck. Couple of questions, I may have missed this, Tony, but are you in a position to divulge the backlog. I think, historically, you had that in your PowerPoint deck around the earnings call but it doesn't look like you have one this quarter.
Anthony Robert Guglielmin: Yes, backlog was -- it's actually in the press release. It's $43 million backlog at the end of Q3, Jeff.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Got you. Apologize, I missed that. And I wanted to get a better sense of the past tremendous EBITDA improvement the company has seen in the past year, at least based on our model seems to be a lot -- having a lot to do with the license agreements with Azure and Volkswagen, which one of those is rolling off that you just previously disclosed. But is there a sense of perspective you could offer in terms of the gross margin improvement or trajectory on, in particular, the telecom as well as Materials Handling segments, in particular, with the -- in light of the new extended contract you have in the Materials Handling side. I'm just trying to get a sense of, can -- are those in a position to be steadily over 20 or mid-20s gross margin over time or not?
Randall MacEwen: Yes. So Jeff, it's Randy. Just a couple of points. Obviously, we don't provide detailed gross margin guidance. We haven't done that historically and don't expect to see that -- doing that going forward. What I can say is that, you are, in fact, right, we've seen attractive gross margin with certain parts of our business. Our job is to make sure that all aspects of our business model, including product sales have the appropriate gross margin. What we are focused on is cost reduction that enables a lower selling price to customers at a higher gross margin for us. And I would say that's certainly one of the learnings from the solar industry is driving costs down. And so we're very focused on doing that.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Okay. It just sounds like, I guess, the mix shift will have a negative impact on gross margins over the next quarter or 2, until you have potentially some type of additional Engineering Services contract signed. And then, it sounds like as well with you on board now, Randy, the level of disclosure from the company, as it relates to units and whatnot will go down as well. So I just -- I guess I question as an investor, when you look at the herculean effort that you had to get to EBITDA breakeven, with one of the contracts at least a couple of million a quarter rolling off here from a revenue perspective that's probably 80%, 90%, 100% margin. I guess, I just would like more comfort that the product gross margin, albeit knowing that you don't break it out, is actually improving. It's something that Chris Guzzi and the team used to highlight quite frequently in terms of the amount of costs that was taken out of the different product cycles, et cetera, that you had. And it's something that hasn't been highlighted too much in recent quarters just given the improvement. But again, it's been, I don't want to say artificial, but it's been masked due to these engineering contracts that are in place. So that's just a perspective I was coming from.
Randall MacEwen: Jeff, maybe just a comment on that if I could. So we do see high gross margin opportunities, obviously, continuing in our Engineering Service, including with Volkswagen. And while that phase of Azure is winding down, we have other opportunities that we would expect to step in including potential future phases with Azure. So I don't know that -- I don't know we're going to see gross margin erosion in any significant way based on your commentary. The other aspect is that, when you look at what we've achieved, and I appreciate you highlighting the significant improvement we've made at the adjusted EBITDA line. Through 9 quarters -- through 3 quarters, 9 months, 21% improvement on the top line but a 69% improvement at the adjusted EBITDA level. So we're showing, I think, a lot of operating leverage in our business model. We expect to see that to continue going forward.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Yes. Good to hear.
Anthony Robert Guglielmin: And maybe I can just pile on a little bit, if I may, too. And you're absolutely right, Jeff. We typically have talked about cost reduction, and we have often given a bit more visibility on that earlier in the year. But just a couple of points to think about is to your point about next year. Just a couple of standbys for you very specifically. As we -- one is in the bus segment, our development stage bus market. We've talked about the launching of the HD7 module, which will be the module that will fulfill any of the JTI program next year as well as we're hoping to see some deliveries this quarter as well. We're looking at about a 25 -- roughly 25% cost reduction in that product, relative to the existing HD6. So as Randy says, we'll certainly pass some of that on to get lower prices, but you can rest assured, we're also looking for some margin expansion in an already attractive area. The other critical project that we have that we're working on that we would expect to see launch next year is in our ElectraGen or backup power. And you'll hear us talk more about it, perhaps on the outlook call, but it's our V3 and the ElectraGen. We expect to see that being implemented next year. That could see us realizing potentially a 10%, roughly cost reduction. So we do have a couple of specific programs that will allow for further margin expansion next year in addition to replacing some of that licensing revenue that's falling off by monetizing some of the UTC portfolio. So we'll get a bit more visibility on our outlook but rest assured, we still remain incredibly focused in that area.
Randall MacEwen: And Jeff, I appreciate your feedback. And I think we've done a very good job expanding our disclosure over the last few years, particularly around the financial performance. And we take your feedback, and we will look for opportunities to provide more visibility. Because we're making very good progress on the technical side, and perhaps we haven't focused as much as we need to, to make sure we're educating the market on not only the performance improvements, but the cost improvements we're making there, which are significant.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Excellent. The last final question I had was on the bus market. Historically, that was -- my sense was a 50-plus percent gross margin business and pricing of fuel cell buses, typically are 3 to 6x a traditional bus, depending on what you're comparing it to, again in rough numbers. But I guess, just a question for you, Tony, is the HD7 module sounds exciting but -- and that gets you more in the zip code of traditional bus pricing. How much of that cost reduction would be passed on with pricing concessions as part of this new generation of product, or was that something that you can retain?
Anthony Robert Guglielmin: Yes. It will be -- well, let's say, we will be maintaining our margins if not getting some expansion. So you can rest assure -- so that is the market where we have the ability to pass on a fair bit of price, fair bit of that cost reduction. So we will be more competitive, and have a much more competitively priced product. And we will maintain margins, at least maintain margins.
Randall MacEwen: And Jeff, part of the reason why I think we are able to command a selling price and a gross margin profile that's attractive, is we dominate this category. So we've approaching now 70% -- sorry, 70 deployments globally for fuel cell buses. No one comes close to that type of installed base.
Operator: The next question is from Matt Koranda with Roth Capital.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Congratulations to John on the retirement, and congrats to you Randy, on joining the team at Ballard. Just one from me here for Randy. You mentioned commitment to the three-pronged strategy that Ballard has followed for some time now. But you also mentioned turning the dial on some different ways. Could you just help provide some color on what that means?
Randall MacEwen: Yes, I mean, the three-pronged strategy is relatively new for the company, when you look at the legacy of a 30-year-old company. And so while we've had the strategy for a period of time now, John and I've talked about different ways to actually turn the dial in terms of getting more urgency to each one of those segments. And so, one, increase the velocity of transactions and the velocity of sales, and I don't think people fully appreciate the IP portfolio we have. Frankly, I didn't fully appreciate it until I joined the company. And the acquisition of the TCP/IP portfolio was a very, very, I think, critical step in shoring up our IP around PEM Technology. And we're seeing a lot of interest on that front. And while it's taken some time to in-house and fully appreciate and understand the scope and breadth of that portfolio, we're now on the flip side looking at opportunities to leverage in and monetize and surface value. So I think that's an area where we're going to continue to look at opportunities. And when we say turn the dial, I'm really speaking of velocity there, nothing structurally.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay. That's helpful. And one quick follow-up to that. Just when you mentioned increase velocity and transactions, what do you think -- I mean, what do you think the drivers are to do that? Is it more driven by cost reductions, is it just getting out in front of customers more, is it boosting the sales force? Just anything around that would be helpful.
Randall MacEwen: Yes. So Steve just joined us earlier this year, and he spent a significant amount of time reenergizing our commercial team, reorganizing the workflow, reorganizing how we approach the markets, looking at our go-to-market strategies. We've added sales resources. We're continuing to add more sales resources. This is all with a view to getting our pipeline broader and qualified faster, so that we have higher probability opportunities that we're closing on quicker. So not just velocity, obviously, on the sales side, but now as we're going to higher volumes including in the Material Handling segment, we're seeing opportunity there to, on the operations side, to increase velocity as well. One thing, I wouldn't mind mentioning Matt, just on that point in terms of looking at Material Handling. We've just signed a long-term agreement with Plug. And as you know, Plug is a critically important customer. It was important during my early days here to visit with Plug and I had an opportunity to meet with Plug's CEO, Andy Marsh, just in my second week here. And one thing I want to comment on and recognize is that Plug is accomplished -- what they've accomplished is really quite, I believe, extraordinary. They've effectively traded a new vertical market, this material handling market where fork and lift trucks are powered by clean hydrogen fuel cells rather than incumbent lead acid batteries. And they've done this by offering an attractive economic value proposition based on productivity, and to quite frankly a very discerning customer base. And they've done this by simplifying the customer experience with their integrated GenKey offering and focusing on strong service and fueling solutions. So I think there's some learning there for us too as we approach the market in terms of simplifying the experience with customers, really focusing, increasing our focus on an attractive economic value proposition. And just to finish out the thought on Plug incidentally, they're seeing a growing order book, and that order book and what they've accomplished with their customers and their systems integration capabilities didn't happen overnight. It took them a significant amount of time to get where they are, but they are now starting to see the fruits of focused and committed game plan. The backup power market is -- we expect to see that type of result in the future as well. As we have a committed and focused game plan, and simplify the customer experience and look for opportunities to articulate the economic value proposition much more crisply. So there are a number of things that Steve's been driving here over the last number of months, and I think that will bear fruit for us in 2015 and going forward.
Operator: This concludes the time allocated for questions on today's call. I'll now hand the call back over to Mr. MacEwen for closing remarks.
Randall MacEwen: Great. Well, thank you, everyone, for joining today. We look forward to talking to you again in February for our 2014 close out and our look at 2015.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating. Have a pleasant day.